Operator: Good morning, everyone, and welcome to Getty Realty's Earnings Conference Call for the Fourth Quarter 2020. This call is being recorded. After the presentation, there will be an opportunity to ask question. Prior to starting the call, Joshua Dicker, Executive Vice President, General Counsel and Secretary of the Company, will read a Safe Harbor statement and provide information about our non-GAAP financial measures. Please go ahead, Mr. Dicker.
Joshua Dicker: Thank you, operator. I would like to thank you all for joining us for Getty Realty's fourth quarter and year-end earnings conference call. Yesterday afternoon, the Company released its financial results for the quarter ended December 31, 2020. The Form 8-K and earnings release are available in the Investor Relations section of our website at gettyrealty.com. Certain statements made in the course of this call are not based on historical information and may constitute forward looking statements. These statements are based on management's current expectations and beliefs, and are subject to trends, events, and uncertainties that could cause the actual results to differ materially from those described in the forward-looking statements. Examples of forward-looking statements include our 2020 guidance, and may also include statements made by management in their remarks and in response to questions, including regarding the Company's response to the COVID-19 pandemic, future company operations, future financial performance, and the Company's acquisition or redevelopment plans and opportunities. We caution you that such statements reflect our best judgment based on factors currently known to us, and that actual events or results could differ materially. I refer you to the Company's annual report on Form 10-K for the year ended December 31, 2019, our subsequent quarterly reports filed on Form 10-Q, and other filings made with the SEC for a more detailed discussion of the risks and other factors that could cause the actual results to differ materially from those expressed or implied in any forward-looking statements made today. You should not place undue reliance on forward-looking statements, which reflect our view only as of the date hereof. The Company undertakes no duty to update any forward-looking statements that may be made in the course of this call. Also, please refer to our earnings release for a discussion of our use of non-GAAP financial measures, including our definition of adjusted funds from operations, or AFFO, and our reconciliation of those measures to net earnings. With that, let me turn the call over to Christopher Constant, our Chief Executive Officer.
Christopher Constant: Thank you, Josh. Good morning, everyone, and welcome to our fourth quarter and full year 2020 earnings Call. With Josh and me on the phone today are Mark Olear, our Chief Operating Officer; and Brian Dickman, our new Chief Financial Officer. Brian officially joined Getty in December, but I'd like to formally welcome him to the Company on the call this morning. I've known Brian for many years, and we are all enjoying working with him and look forward to his contributions at Getty for years to come. I'll begin today's call by providing an overview of our fourth quarter and full year 2020 performance, update everyone on our business in the context of the ongoing COVID-19 pandemic, touch on our 2021 strategic objectives, and then we'll pass the call to Mark and Brian to discuss our portfolio and financial results in more detail. We closed out 2020 with a highly productive quarter, which saw each aspect of our business post significant accomplishments. During the year, we maintained high monthly rent collections and stable occupancy in our portfolio, acquired 34 properties and completed six redevelopment projects. The net result was the continued growth of both our revenues from rental properties, which increased by 3.5% for the quarter and 5% for the year, and our adjusted funds from operations per share, which grew by 12% for the quarter and 7% for the year. In a normal year, we'd be proud to report on this growth. When you consider the countless challenges brought upon us by COVID-19, I can say with great satisfaction that these results were only possible due to the extraordinary efforts put forth by the entire Getty team this year. I believe these results reflect the value of our portfolio; and, combined with our strong and flexible balance sheet and growing pipeline of investment prospects, position the Company well for success as we look towards 2021 and beyond. I'm pleased to report that our fourth quarter results continue to demonstrate the stability of our triple-net lease rents and growth platform. Our portfolio of convenience stores, gas stations and other automotive assets produced another strong quarter of rent collections, operating performance and growth at Getty. We saw our rent collection rate increase to 98.7%, and we collected substantially all of the deferred rent and mortgage lines that were due to us in the fourth quarter. We entered 2021 with a small balance of COVID-related deferrals, which we expect to collect throughout this year. In addition, Getty completed several leasing and disposition transactions in the quarter, which will serve to stabilize the small number of assets where we were experiencing difficulties with rent collections. Looking ahead, although uncertainty remains regarding the forward impact of COVID-19 to the broader economy, we are encouraged by the strength exhibited by our tenants and assets since the beginning of the pandemic. We will continue to be vigilant in monitoring the health of our tenants, as we believe the severity of the COVID-19 pandemic on the U.S. economy will continue to impact the consumer and retail activity through at least the first half of 2021, and therefore could negatively affect Getty's rent collections and financial results. The execution of the Company's acquisition strategy was an important driver of Q4 and full year 2020 performance. For the quarter, Getty acquired 10 properties for $45.1 million; and, for the year, we acquired 34 properties for $150 million, which represents significant growth over the Company's acquisition activity in the prior year. These high-quality assets are located in numerous markets across the country and include portfolios of both convenience stores, which offer consumers food, traditional merchandise and fuel, as well as car washes. We also continued the momentum of our redevelopment program as we completed our third project with AutoZone, bringing our total of completed projects for the year to 6. We are closing in on completing 20 projects since the inception of our redevelopment strategy, further demonstrating the value of the real estate we hold in our portfolio. Our balance sheet also ended 2020 in excellent condition as we successfully issued a $175 million, 3.4% debt private placement in December, and we issued approximately $65 million of equity under our ATM program during the year. Our leverage continues to be less than 5 times; and, with a revolver that is almost completely undrawn, Getty has significant capacity to fund its growth plans. As we enter 2021, we feel encouraged about our portfolio of nearly 1,000 properties. The convenience store industry and other automotive businesses are essential and largely Internet-resistant. Our rents, 65% of which come from the top 50 MSAs in the U.S., continue to be well covered. In fact, despite COVID-related challenges, our rent coverage ratio remained stable throughout the year and ended 2020 at a healthy 2.6x. Our portfolio was built around serving the needs of the car driving individual. And it's continuing to do so, whether it's stopping for convenience store items, fuel, getting snacks, meals, or getting your car wash and we service. These are needs that continue to be in high demand today and which we believe will be staples for the mobile consumer for years to go. Our team is more focused than ever on executing our growth initiatives, including maximizing the quality of our in-place portfolio through continued active asset management, enhancing our portfolio to our accretive acquisitions in stores and other automotive assets, which serve the mobile consumer, and unlocking embedded value through our selective redevelopments. We are confident in our targeted investment strategy, which focuses on acquiring high-quality real estate in metropolitan markets across the country and in our ability to continually successfully execute on these strategic objectives. Our approach and focus on driving growth should result in driving additional shareholder value as we move through the remainder of 2021 and beyond. With that, I will turn the call over to Mark Olear to discuss our portfolio and investment activities.
Mark Olear: Thank you, Chris. During 2020, Getty's underwriting of potential transactions grew as we added resources to focus on convenience store and other automotive opportunities. For the year, we reviewed approximately $2.1 billion of opportunities, which met our initial screen process. Convenience store opportunities represented 62% and other automotive represented 38% of the total. As Chris mentioned, we remain highly committed to growing our portfolio in terms of both the convenience store industry, which offers consumers food, traditional merchandise and fuel, and with other automotive-related assets that are tied to mobile consumer spending. Going forward, we anticipate growing both areas of our underwriting platform as we view the businesses as highly complementary and the underwriting characteristics to be very similar. To review a few highlights of our investment activities, for the fourth quarter, we invested $45.1 million in 10 high-quality convenience store and car wash assets. In October, we completed a sale-leaseback with CEFSCO convenience stores, one of the leading independent convenience store operators in the southern United States. In the transaction, Getty acquired six properties for $28.7 million, all located throughout the state of Texas. These properties are subject to unitary triple-net lease with a 15-year base term and multiple renewal options. They have an average lot size of 2.7 acres and an average store size in excess of 5,300 square feet, which reflect that the assets we acquired have all of the attributes of today's modern and full-service convenience store. Our initial cash yield is in line with our historical acquisition cap rate range. In addition, we acquired four car wash assets in individual transactions with Go Car Wash and Zips Car Wash for $16.4 million in the aggregate. For the year, we acquired 34 properties for $150 million. Our weighted average initial return on acquisitions for the year was 7.0%. Finally, the weighted average initial lease term for the properties acquired for the year was 14.6 years. Overall, our acquisition team remains busy sourcing and underwriting potential investments, and we continue to feel strongly that the volume of opportunities we are underwriting will produce additional growth as we progress through this year. We expect that our future acquisition activity will remain focused on the convenience store and other automotive sectors and that we will pursue direct sale-leasebacks, acquisitions of net lease properties, and funding for new-to-industry construction. Finally, we remain committed to our core underwriting principles of acquiring high-quality real estate and partnering with strong tenants in our target asset classes. Moving to our redevelopment platform, for the year, we invested approximately $2.9 million in both our completed projects and sites which are in progress. In the fourth quarter, we returned one redevelopment project back to the net lease portfolio, bringing our total for completed rent commencement projects to six in 2020 and 19 since the inception of our program. Specifically, in October, rent commenced on a project with AutoZone in New Jersey, in this project, we invested $0.2 million, and we expect to generate a return on our investment of more than 45%. In terms of redevelopment projects, we ended the quarter with 10 signed leases or letters of intent, which include six active projects and four signed lease properties, which are currently subject to triple-net leases which have not yet been recaptured from the current tenant. We expect to have rent commencement at several sites during 2021, with the remainder completing within three years. On the capital spending side, we have invested approximately $1.8 million in the 10 redevelopment projects in our pipeline and estimate that these projects will require total investment by Getty of $5.8 million. We project these redevelopments will generate incremental returns to the Company in excess of where we can invest these funds in the acquisition market today. For more detailed information on the redevelopment pipeline, please refer to Pages 15 and 16 of our investor presentation, which can be found on our website. We remain committed to optimizing our portfolio and continue to anticipate redevelopment opportunities over the next five years, possibly evolving between 5% and 10% of our current portfolio, with targeted unlevered redevelopment program yields of greater than 10%. Turning to dispositions. We sold 11 properties during 2020, realizing proceeds of approximately $6 million. These properties we sold were vacant or returned to us by tenants for the terms of the lease agreements. We expect the net financial impact of these dispositions will be minimal. In addition, during the year, we exited 10 properties, which we previously leased from third-party landlords. As we look ahead, we will continue to selectively dispose of properties where we have made the determination that the property is no longer competitive as a convenience store location or does not have redevelopment potential. The net result is our portfolio is now 35 states plus Washington, D.C., and 65% of our annualized base rent comes from the top 50 national MSAs. We ended the year with 946 net leased properties, six active redevelopment sites and seven vacant properties. Our weighted average lease term is approximately 9.5 years, and our overall occupancy, excluding active redevelopments, increased to 99.3%. With that, I'd turn the call over to Brian Dickman to discuss our financial results.
Brian Dickman: Thanks, Mark, and good morning, everyone. I'm excited to be here with Chris, Mark, Josh and the rest of the Getty team, and I look forward to interacting with all of you, going forward. I'll start with the recap of earnings. Hopefully, everyone's had a chance to see yesterday's release. AFFO, which we believe best reflects the Company's core operating performance, was $0.48 per share for the fourth quarter and $1.84 per share for the full year, representing year-over-year increases of 12% and 7%, respectively. FFO was $0.91 per share for the fourth quarter and $2.32 per share for the full year. Both periods were impacted by a nonrecurring legal settlement in the Company's favor. Our total revenues were $37.1 million in the fourth quarter and $147.3 million for the full year, representing year-over-year increases of 3.3% and 4.7%, respectively. Rental income, which excludes tenant reimbursements and interest on notes and mortgages receivables, grew 3.9% to $31.8 million in the fourth quarter and 7.1% for the full year to $128.2 million. Acquisition activity, rent escalators in our leases and the completion of redevelopment projects all contributed to the growth in our rental income. On the expense side, we benefited from a reduction in property costs in both the fourth quarter and full year primarily due to decreases in third-party rent expense and professional fees related to property redevelopments. Environmental expenses increased in the fourth quarter versus the prior year, although the amounts were credits in both periods, and decreased for the full year versus 2019. Environmental expenses are subject to a number of estimates and noncash adjustments and continue to be highly variable. G&A expenses increased in both the fourth quarter and full year primarily due to increases in employee-related expenses, including stock-based compensation and certain legal and other professional fees. As previously mentioned, in the fourth quarter, we had a nonrecurring benefit of $20.5 million as a result of the settlement of a litigation matter. For additional information, please refer to our 10-K, which will be filed tomorrow. Turning to the balance sheet and our capital markets activities. During the fourth quarter, we issued $175 million of new 10-year unsecured notes at 3.43% via direct private placements at the three life insurance companies. We used the proceeds to retire the full $100 million outstanding under our 6% Series A notes, which were coming due in early 2021 and to repay borrowings under our credit facility. As a result of this transaction, we incurred a $1.2 million debt extinguishment charge, which is included in GAAP net earnings and FFO. We were also active with our at the market equity program during the quarter, raising $25.1 million at an average price of $28.45 per share. For the full year, we raised $64.4 million through the ATM at an average price of $29.16 per share, which helped to fund our growth and maintain our low leverage profile. As of December 31, we had total debt outstanding of $550 million, including $25 million outstanding under our credit facility and $525 million of long-term fixed rate unsecured notes. Our weighted average borrowing cost was 4.1% and the weighted average maturity of our debt is 7.3 years. In addition, our total debt to total market capitalization was 32%, our total debt to total asset value was 40%, and our net debt-to-EBITDA was 4.9 times. We have no debt maturities until June of 2023 other than our credit facility, which matures in March of next year but has a 1-year extension option at our election. As we look ahead and think about our capital needs, we remain committed to maintaining a conservative, well-laddered and flexible capital structure. With respect to our environmental liability, we ended the quarter and year at $48.1 million, which was down $2.6 million from the end of 2019. For the fourth quarter and full year, net environmental remediation spending was approximately $1.6 million and $6.4 million, respectively. Finally, we are introducing our 2021 AFFO per share guidance at a range of $1.86 to $1.88 per share. Our guidance includes transaction activity to date, but does not otherwise assume any potential acquisitions or capital markets activities for the remainder of 2021. Specific factors which impact our guidance this year include the full year impact of our 2020 investment and capital raising activities, our expectations that operating costs will generally continue to increase, our expectation that we will forego rent when we recapture properties for redevelopment and our expectation that we will remain active in pursuing acquisitions and redevelopments, which could result in additional expenses for deals ultimately not completed. With that, I will turn the call back to Chris.
Christopher Constant: Thanks, Brian. That concludes our prepared remarks, so let me ask the operator to open the call for questions.
Operator: At this time, we will be conducting a question-and-answer session. [Operator Instructions] Our first question is from Anthony Paolone with JP Morgan. Please state your question.
Anthony Paolone: Thanks good morning and welcome, Brian, to the call. My first question is your largest tenant, Arco, just curious if their listing changes anything for you all, whether that helps with maybe do they have a growth mandate? I think, Mark, you had mentioned potentially partnering with tenants, with their growth and objectives and that being a source of deal. So I'm just wondering if any of that has a role in this.
Christopher Constant: Yes. I'll maybe give you my perspective, and I'll let Mark talk about the growth side to their business. But Arco is somebody that Getty's had a relationship with since the mid-2000s. We've got four leases with them today. They've certainly been very acquisitive. We talk to them on a regular basis. And having another tenant that's public, where we can see their performance quarter-to-quarter certainly, I think, is very helpful from an asset management and credit underwriting perspective.
Mark Olear: Yes, I'll just echo with -- Chris said. We're in constant contact with not only them, but most all of our tenants that have a growth program in our current portfolio. They've been a great partner. We shared a similar view on underwriting of both the real estate and the business opportunity. And they constantly make us aware of what they might be looking at. And they've been a good partner, and they seem to be remaining very active, and we're happy to look at things with them.
Anthony Paolone: I mean, can you talk a bit more about the deal pipeline? You did $45 million in the quarter. It's a solid run rate if you can kind of keep that pace. But maybe if you could comment on whether you're seeing a large amount of flow, or not any yields?
Mark Olear: Yes. I can talk specifically about the opportunity flow. There was a bit of a pause, as we mentioned on our quarterly calls throughout last year, as tenants focused on running their business in the midst of the early stage of the pandemic, but the rebound was noticeable coming out to the end of the year and certainly coming through the beginning of this year. So we're pretty excited about the deal flow of opportunities that we meet our initial underwriting criteria in the asset classes that we've summarized here on the call today. So we're encouraged that that activity and the pipeline of underwriting will continue to generate opportunities for us to stay on pace through this year.
Anthony Paolone: You said yields consistent with your historical EPS. Can you just remind us kind of where those might be and whether or not there's been much change in the market?
Mark Olear: So the range that we always quote is the mid- to high 6s is through low 7% range. There's definitely a lot of activity around our asset class, both convenience and gas and other automotive. There's been some slight pricing movement in the market, with the activity and the interest in the assets coming out of the pandemic having performed so strongly and remained open as essential businesses. But we have, again, had not seen a runoff in those opportunities coming our way. Our team is doing a great job both maintaining the relationships with the growing tenants, the deal sponsors, and certainly it's ramped up our business development activity, where we're generating new opportunities that might not be as broadly marketed, which would hopefully put some type of balance to the pricing versus broadly marketing deals.
Operator: And our next question is from Todd Thomas with KeyBanc Capital Markets.
Todd Thomas: Just wanted to follow up a little bit on the deal flow commentary there, and curious, relative to the split that you saw in 2020, C-stores I think you said comprised 62% of the year's acquisitions to other automotive was 38%. How should we think about that mix for future investments, going forward?
Brian Dickman: Yes. Well, just to be clear, right, the 62%-38% lit that Mark mentioned, that's what we underwrote for the year. If you look at what was completed for the year, it probably was the inverse of that, right, where we actually acquired more in our other automotive categories. We view both the categories as important to Getty. And obviously, we prefer to be sort of 50-50 looking at as many opportunities as we can in both of those target markets. So that's my perspective. I don't know if you guys want to add to that.
Mark Olear: Yes. Again, we broadened our strategic underwriting about two years ago to expand outside of the pure convenience gas to include other automotive. So a Getty's lifecycle, it's a relatively new initiative. But that said we've ramped up extremely quickly and made significant inroads to sourcing opportunities in the other automotive category. It -- I would expect that it will continue to grow as a component of the underwriting pipeline, but not only that grow the pipeline. So we hope to grow the pie, as you say, and kind of maintain a growth of both new opportunities, new relationships with both in all those asset classes.
Todd Thomas: And then the portfolio, Chris, I think you noted, right, it's been built around car driving. As we sort of think about the reopen and make our way through '21, is there an opportunity, whether it's automotive or C stores, is there an opportunity to do something larger on the investment front or strategic in nature to sort of gain leverage to the reopen for these assets?
Christopher Constant: We're always looking at opportunities, big and small. There's obviously -- our current set of plans, right, is to continue to acquire portfolio of single assets like we've done. But we certainly feel that the consumer, right, is itching to get out, right, especially once everyone's vaccinated and can get sort of back to normal as much as possible. So we think it's going to be actually beneficial to our asset types as the year goes on. But again, today, the plan is just to continue to manage the opportunities that we have in our pipeline and to underwrite new opportunities. If something larger comes our way, we certainly think we've got the balance sheet capacity to do it. But we'll just evaluate that if it presents itself to us.
Todd Thomas: Do you expect to see sort of an uptick or a flurry of investment activity and transaction activity within the space overall?
Christopher Constant: We've been seeing that, Todd, right, over the years, there's obviously been more and more interest. The convenience store has been one of the healthier segments of the retail net lease landscape over the last couple of years. So there's certainly been more competition coming in. I think other institutional and public real estate investors have always been focused on some of the other automotive asset classes, so there's a steady stream of competition there. The term essential, right, is sort of a new phrase, right? So we now know that our portfolio is almost 100% essential businesses. And I think you'll continue to see investors flock to that, "essential basket", so you may see more competition. But from our perspective, we think the competition has been there. And we think we've been able to successfully bring opportunities in, underwrite those opportunities and close deals. So we're more focused on executing what's in our pipeline and what we can underwrite and bring in.
Todd Thomas: And just last question for Brian. Brian, regarding the balance sheet here and the cash balances, is that expected to be whittled down by year-end? Is that sort of the first source of funding for acquisitions? Or do you expect to sit with a higher cash balance throughout the year?
Brian Dickman: No, I think you'll see us manage that as efficiently as possible. Sometimes you get those moments in time at the end of the year, the end of a quarter, but we will utilize cash on hand. We realized cash from operations after dividends. We'll utilize the revolver, which, as we said, had a small balance at the end of the year. And we'll continue to be active with the ATM. So I think you'll see us use the full suite of sources available to us, but certainly, cash sitting on the balance sheet and cash from operations is a good place to start from a cost perspective, cost of capital perspective.
Operator: [Operator Instructions] Our next question comes from John Massocca with Ladenburg Thalmann.
John Massocca: Good morning and welcome to the call, Brian. As you look out into the pipeline today, I mean, I guess how does the acquisition opportunity set kind of bifurcate between maybe one-off deals, some of these midsize portfolios that you've done recently, maybe larger portfolios relative to the size of Getty?
Brian Dickman: So it's mostly going to be weighted towards the midsize portfolios. We continue to scour the marketed one-off opportunities to just supplement the pipeline, but those deals being kind of what the brokerage called bite-size deals, in the $1 million to $2 million range, or if we like the real estate and like the 10 and get our returns, we will not ignore those. But it's hard to fill a program with those deals. So we're focused on the midsize pipeline deals, midsize portfolio deals, I should say. The larger institutional deals we're aware of, but I think the buckets you just summarized, kind of the mid-sized portfolio deals, both marketed. And as I said before, those opportunities are being mined by our business development team. We're trying to generate new relationships to kind of work on both our tenant and our geographic diversity and just continue to grow the opportunity set for future transactions.
John Massocca: And as you think about cap rates, have they trended pretty much the same in all three of those buckets? Or maybe there've been more compression in one of those buckets versus the other?
Brian Dickman: I think there's been a general shift downward, right? You can see from just what we've been able to buy over the last couple of years. I mean, I don't think it's a dramatic shift, John, but it certainly feels like there's been a steady tightening within the sector over the last kind of four to five years. Again, I still think the market for what Getty is looking at is in that -- Mark quoted earlier today, that kind of mid-6s to low 7s, right? That's kind of our sweet spot. That's what we've been able to do over the last couple of years. And yes, I mean, I think there's no change from our perspective in terms of what we're looking for.
John Massocca: And then, in terms of the other automotive bucket, it seems like that's primarily consisted of car washes and kind of tire, auto parts, et cetera. I mean, I guess, how wide could that opportunity set get? Are things like car dealerships potentially in that investment targeted area? Or is it pretty much just what's been completed maybe over the last two years, three years?
Mark Olear: I think the types of operation and what we do is other automotive or certainly car wash, tire and battery, lube and oil change, collision centers. That's kind of the set we've been working on. We've not been pursuing the auto dealerships as part of that opportunity set as of today. The classes that I just mentioned are very similar to what we already own and are comfortable owning. They're the 1 to 2 acre lots. They're convenience-driven. They're in and around other retail generators or centers of influence, high traffic, which kind of it leads to our real estate attribute underwriting criteria that we always reference. Although it may be a great car wash, great C-store, great tire and battery center, it also has to be a great piece of property for us to want to acquire it. So it has to have those underlying attributes of convenience, visibility, proximity to other traffic generators. So that's kind of the verticals that we would consider other automotive.
John Massocca: And then, maybe the flip side of the Arco going public, Applegreen potentially going private, I mean, does that impact you guys at all, either in terms of the opportunity set or disclosure, anything to that extent?
Christopher Constant: In all those newer leases, we get site level reporting, right, and that's how we kind of get our coverage that we disclosed in our investor presentation. With Arco being one of our bigger tenants today, it's certainly nice to get that public steady flow of information. We certainly had that with Applegreen, but we've got a good dialogue, and we know what they're trying to execute in our portfolios with them. We'll certainly miss having their reporting, but we obviously can't control that. So we'll monitor all of our portfolio to the best of our ability, and as people go public or private, we'll adjust accordingly.
Operator: Our next question is from Josh Dennerlein with Bank of America.
Josh Dennerlein: So you own a lot of well-positioned C-stores, automotive locations. Any kind of discussions about adding EV chargers to a lot of those locations, it seems like it could be an interesting opportunity?
Christopher Constant: Absolutely, we talk to our tenants all the time about improvements to the properties that we own. The conversation today around charging and what the right infrastructure is to add to properties and where chargers can be done. We can't point to anything concrete today, Josh, but there's certainly a lot of study and thought going into how the convenience store in general adapts to changes in consumer needs, right? So, the fuel changes the desire to shop in the C-stores requires a mix of product or more renovation in the store. We're very supportive of all of our tenants changing their product mix or changing their business strategy to support our assets. And we, from time to time, either through redevelopment or through funding our tenants, also invest in our properties, right, to make sure that they remain competitive. The C-store business, obviously they're on a lot of corners and certainly a competitive business, and everybody, Getty or our tenants, needs to be aware that consumer needs to change, and we've got to make sure that we adapt our properties or their businesses to meet the consumers' needs.
Josh Dennerlein: It seems interesting, because I would imagine it takes a little bit longer to charge the EV than fill up at a gas station. So maybe it drives extra sales in the box that people wait longer, but yeah, I appreciate the thoughts, Chris. That's it from me guys. Thanks.
Operator: Ladies and gentlemen, we have reached the end of the question-and-answer session, and I would like to turn the call back over to Chris Constant for closing remarks.
Christopher Constant: Great. Thank you, operator. Just want to thank everybody for participating in the call today. I appreciate your interest in Getty. We look forward to updating everybody on our progress throughout 2021, and look forward to getting back on the phone when we report our Q1 earnings in late April.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation, and have a great day, guys.